Marissa Wong: Good afternoon. And welcome to CLP Holdings 2023 Annual Results Briefing. My name is Marissa Wong, Director of Investor Relations; and I’m joined by Chief Executive Officer, Mr. T.K. Chiang; and Chief Financial Officer, Mr. Nicolas Tissot. We launched our 2023 annual results announcement today with the Hong Kong Exchange at about midday and the announcement in addition to this briefing is available on our website. This briefing is also being recorded and will be on our website later. Before we begin, please read the disclaimer on slide two and for today’s agenda we’ll follow the same practice, which is T.K. providing us with an overview, as well as the strategic outlook and Nicolas with the financial results. This will be followed by Q&A. With that, I will pass over to T.K. to commence the briefing. Thanks, T.K.
T.K. Chiang: Good afternoon, ladies and gentlemen. It is a privilege and an honor for me to share with you CLP Group’s performance for the first time as Chief Executive Officer. I’m pleased to say it’s been a year of very solid performance against a backdrop of global economic uncertainty and challenging external environment. The ability to deliver in this environment is a testament to our strong foundations and the robustness of our diversified energy businesses in Asia-Pacific. Our financial results were strong driven by dependable core Hong Kong and Mainland China businesses, and improved contributions from our overseas businesses including a progressive recovery at EnergyAustralia. 2023 saw the achievement of an important milestone in Hong Kong, the approval of 2024 to 2028 Development Plan, a five-year program with HK$52.9 billion capital expenditure to propel Hong Kong’s next development and decarbonization phase, a mark of regulatory stability and economic certainty which is particularly relevant in the current environment. Operationally, we ended 2023 with our fleet delivering excellent performance. Yangjiang had record high generation. Daya Bay Unit 2 successfully completed its 30-year outage, the first large-scale commercial nuclear plant in Mainland China to do so. Hong Kong endured a super typhoon and one of the heaviest rainstorms on record within a week, and availability at Yallourn and Mount Piper improved. All thanks to the hard work of our people across the organization. For future growth, we make progress on nationally significant projects. The decarbonization of Hong Kong took a major step forward with the launch of a new offshore LNG terminal. In Mainland China, we accelerated the expansion of our renewable energy portfolio, underscoring our commitment to meet demand for sustainable energy. EnergyAustralia’s advanced its flexible capacity projects to support reliability in Australia’s energy transition, with Tallawarra B gas power station coming online and a number of battery and pump hydro projects making progress. Apraava Energy in India has entered the advanced metering infrastructure market, winning contracts to install more than 3 million smart meters which will enable the development of more energy efficiency services. Across all our markets, we are building strong growth momentum, seizing the opportunities in energy infrastructure and rising demand for energy solutions. We have a healthy pipeline of projects and the long-term fundamentals of the markets where we operate remains compelling. Finally, energy transition remains a fundamental priority and at the core of CLP’s strategy. That’s why we have again strengthened our greenhouse gas emission intensity target to bring us closer to 1.5 degrees Celsius. Now, turning to the highlights for 2023. Financially, the Group’s operating earnings before fair value movements increased by 33% year-on-year to over HK$10 billion. As we have already announced, we took an impairment of goodwill of EnergyAustralia’s Customer business to reflect the changes in the Australian retail market. After taking this into account, another one-off item, total earnings were HK$6.7 billion, a strong rebound from HK$924 million. Our Hong Kong team did a great job working with the government to conclude the 2024 to 2028 Development Plan. This plan keeps up a high level of investment in the next five years to support Hong Kong’s growth. In line with our longstanding practice and policy on dividends, the Board struck a balance between the improvement of financial performance and the Group’s ongoing investments in energy transition. They’ve approved a fourth interim dividend of HK$1.21 per share, making total dividends the same as 2022 at HK$3.10 per share. Looking ahead, we remain committed to build on the positive momentum to remunerate shareholders in line with the evolution of earnings while maintaining a solid financial position to back our business growth. On the operational front, our injury rates went down by 28%, which is especially pleasing in a year of heavy development and construction activities. Despite Super Typhoon Saola, reliability in Hong Kong remained exceptional compared to most major urban centers. On the customer front, we saw growth in our customer accounts in Hong Kong, while intense competition in Australia resulted in a slight reduction in accounts there. Energy output declined 9%, mainly due to exiting Fangchenggang coal-fired power station and the deconsolidation of our Apraava Energy. Excluding these changes, outputs from our portfolio matched last year’s level. We increased our generation capacity, continuing our investments in the transition to cleaner energy, while greenhouse gas emission intensity of our operation was stable. I’ll now hand over to Nicolas to take you through the financial results.
Nicolas Tissot: Thank you, T.K., and good afternoon. In a context of rapidly changing energy markets and macroeconomic, as well as financial pressure, CLP performed strongly. We recorded EBITDA growth of 12% to HK$23.6 billion. This reflected stable generation and sustained capital expenditure in Hong Kong. EnergyAustralia recovered from a loss in 2022 to turn significantly positive at EBITDA level in 2023. Groups operating earnings before fair value movements were strong above HK$10 billion, 33% higher as compared with 2022. Coupled with the favorable fair value movements of HK$2.1 billion versus an unfavorable fair value movement of HK$3 billion in 2022, operating earnings soared above the HK$12 billion mark. Despite the significant negative impact of items affecting comparability, predominantly the impairment of EnergyAustralia’s customer goodwill of HK$5.9 billion, as well as a small impairment in China and a positive one-off in India, total earnings for the year were HK$6.7 billion, a significant rebound from less than HK$1 billion in 2022. After deconsolidation of Apraava Energy, capital investment continued at a healthy pace of HK$12.8 billion in 2023. And as mentioned by TK, total dividends per share declared in 2023 were maintained at HK$3.10, same as last year. EBITDA’s evolution reflects solid delivery across the Group, with significant improvement at EnergyAustralia which turned HK$2.3 billion positive compared to a loss position in 2022. I will double-click each of the regions in the following slides. On the left-hand side, you’ll see the scope impact of around HK$1 billion from the deconsolidation of Apraava Energy, now equity accounted as a 50-50 joint venture, as well as the divestment of Fangchenggang events that occurred in late 2022. Removing the impact of scope and a stronger Hong Kong dollar against Australian dollar and renminbi, consolidated EBITDA for the Group grew 17% organically. This slide shows the solid 30% organic evolution of our operating earnings before fair value movement. This organic growth results from an increase of almost HK$3.7 billion in EBITDA, as we have reviewed in the previous slide. Higher net financing costs due to higher interest rates environment in Hong Kong and Australia, although we were able to mitigate part of this pressure. Higher tax expenses, mainly due to the impact of reduced tax credits in EnergyAustralia, in line with lower losses. Higher depreciation and amortization were driven by new projects commissioned in Hong Kong and Mainland China. At the operating earnings before fair value movement level, we saw higher contribution from almost all regions. Hong Kong continued to deliver steady earnings from higher average net fixed assets. However, higher interest costs borne by shareholders on higher interest rates limited the growth of earnings. Mainland China saw dependable performance from our non-carbon fleet, and in particular from nuclear, where we had a record high output from Yangjiang. However, loss from legacy minority-owned coal assets resulted in a 7% decrease, but still above the HK$2 billion mark. EnergyAustralia recovered from heavy losses in 2022 to close to break-even, driven by improvement from its energy segment in a more stable market environment. This was partially offset by retail market headwinds and a period of cost of living pressures. In India, the Apraava Energy joint venture delivered a strong performance, with higher contributions across its diversified portfolio. Hoping performed well operationally and the earnings increased from the favorable full year impact of the accelerated electricity tariff coal indexation mechanism. I’ve spoken about the HK$2.1 billion favorable fair value movements and items affecting comparability earlier. After these one-off elements, the Group’s total earnings improved significantly, from HK$924 million in 2022 to nearly HK$6.7 billion in 2023. I’ll now review each business unit’s performance and outlook. All variances will be analyzed at operating earnings before fair value movements level and will exclude the impact of forex and scope to reflect the actual organic underlying performance of the business. Starting with Hong Kong, the slight increase in earnings to HK$8.8 billion reflected continued investments in electricity infrastructure and decarbonization, driving higher average net fixed assets, as well as meeting our five-year performance incentive targets. This was offset by higher interest costs borne by shareholders due to higher interest rates. 2023 was a very busy year, marked by major achievements. We came to the end of the 2018-2023 Development Plan. In the last year of that plan, we delivered HK$11.7 billion of capital expenditure, including HK$4.9 billion in generation, most recently the completion of the offshore LNG terminal and HK$6.8 billion, mainly in transmission and distribution networks, substations and smart meters. We concluded the interim review of the scheme of control and the 2024-2028 Development Plan was approved by government at a level of HK$52.9 billion over the next five years. T.K. will talk about this later. Looking ahead, we will focus on delivering this new Development Plan to support government’s economic infrastructure and decarbonization agenda. In addition to providing support funding for customers and communities in need, we remain committed to prudent cost controls and a diversified fuel strategy to alleviate the tariff pressure on customers. Mainland China continued to deliver over HK$2 billion operating earnings. Nuclear continued to perform well, contributing more than HK$1.8 billion, taking into account the impact of the planned Daya Bay Unit 2 large-scale outage. We saw smooth operations and slightly higher earnings from our renewables portfolio, mainly due to the additional contributions from new wind and solar projects, while partially offset by lower water resources. Lower tariff and output turned our remaining coal-fired assets’ profits in 2022 into losses in 2023. Financing costs were lower because of favorable interest rates after several important refinancings, while corporate costs were higher, mainly due to the development expenses to support the acceleration of our renewable growth in Mainland China. Looking ahead, nuclear performance is expected to remain dependable despite another major planned outage at Daya Bay. We have also started to explore other nuclear opportunities. We will continue to build out and execute our development pipeline to deliver upon our ambition to add new renewable generation and flexible assets. As we invest to develop our decarbonization pathway, options such as green contracts for corporate clients and EV charging stations for local governments are targeted. Turning to Australia, EnergyAustralia has recovered from heavy losses in 2022 to close to break-even in 2023. After a particularly extreme 2022 that resulted in the energy segment being in a short position amid very high spot prices, 2023 saw softened and less volatile wholesale electricity prices. The much stronger energy segment performance was driven by Yallourn and Mount Piper’s higher realized prices from forward contracts, non-repeat of high costs to settle short positions and higher gas portfolio margins. Together with higher contributions from the renewable power purchase agreements, the energy segment recorded a big swing from a loss to a substantial HK$2.9 billion EBITDA. Decrease in EBITDA in the customer segment was due to unfavorable retail customer book with increased costs of purchasing energy and cap payouts no longer received in 2023. As noted in our customer goodwill impairment announcement, we have seen more demanding economic and operating conditions in the Australian retail market, which has put pressure on margins and resulted in higher churn. Higher finance costs were driven by higher interest rates. In line with improvement in financial performance, tax credits decreased. Looking ahead, our focus remains to continue to strengthen the operational and financial performance of Yallourn and Mount Piper after the improvements that we started in 2023. As per its Climate Transition Action Plan, EnergyAustralia will contract or invest in renewable energy and flexible capacity needed to support Australia’s clean energy transformation. And there are a list of initiatives underway covering batteries, peaking capacity and pumped hydro. EnergyAustralia is also working to support its 1.6 million households and businesses who rely on them for their energy needs. This customer base is a key component of the Jen Taylor Integrated Model [ph] to underpin investments required for the transition of our generation portfolio and to drive future growth and value streams. Finally, to India, where strong momentum behind our joint venture Apraava Energy has delivered profitable growth across its diversified portfolio. After adjusting for the deconsolidation resulting from the lower shareholding from 60% to 50%, operating earnings were up 43% to HK$301 million. Renewables performed well with higher generation from wind and solar, and higher interest received on efficiency and performance -- due to high efficiency and performance at Jhajjar. Transmission continued with a very solid performance, availability from our two transmission assets standing at 100%. Looking ahead, the momentum to expand and diversify its energy portfolio is clear. Sidhpur Wind Farm will be in its full 251 megawatt capacity operation in the first half of 2024 and we have won an additional equivalent capacity of around 1.2 gigawatts of non-carbon projects. These include 300 megawatts of wind projects, 250 megawatts of solar, three interstate transmission projects and two advanced metering infrastructure projects. Moving now to the Group’s cash flows, cash inflows were HK$23.5 billion, more than double the prior year. This increase was principally from increased funds from operations driven by our improved EBITDA, but also from large favorable exceptional working capital movements and receipt of HK$1.6 billion, the consideration for the divestment of Fangchenggang at the end of 2022. Working capital movements reversed from negative to positive this year as a result of lower fuel costs paid and recovery of fuel costs from customers in Hong Kong and cash released from EnergyAustralia’s future margin account upon softening forward prices. Cash outflow in the period amounted to HK$19.1 billion, made up of HK$11.3 billion of capital investments and HK$7.8 billion of dividend payments. Most of the CapEx was for our Hong Kong SoC business at a similar level to 2022 for the final year of our 2018-2023 Development Plan. As mentioned at the start of the presentation, our consolidated gross CapEx were lower because of the deconsolidation of our Apraava Energy and the timing of our new projects in 2023. Gross CapEx spend was mainly on renewable projects in Mainland China and Tallawarra B open cycle gas-fired power plant in Australia. Group financial situation remains healthy. Net debt at HK$52.3 billion is lower than HK$54.9 billion a year ago on the back of stronger cash generation. Net debt to total capital ratio also improved, standing at 31.6%, compared to 32% a year ago. It’s important to highlight that we were able to actively manage funding costs, mitigating the impact of the high interest rates environment by going more fixed and raising floating rate bank loans at attractive conditions as interest rates were rising. We maintain a strong liquidity as at 31st of December 2023, we had above HK$36 billion of available liquidity made up of HK$30.9 billion undrawn bank facilities and HK$5.2 billion of bank balances. Credit ratings and rating outlooks for CLP companies remain unchanged in 2023. Following the yearly credit review by S&P, the credit ratings and stable outlooks for CLP Holdings, CLP Power and CAPCO were reaffirmed at A, A+ and AA-, respectively, and the same goes for Moody’s. Overall, we are in a good position to address our commitments to shareholders and bondholders, have ample liquidity for any event and continue to fund our energy transition growth plans. Finally, on a more personal note, I wanted to share that these annual results will be my last ones with CLP. As announced on January 30, I will leave the company for personal reasons. With these solid results, I’m happy that I leave on a high note and I’m proud of the steps we’ve delivered during these four intense years to put CLP in a stronger position. I will be leaving the CFO role at the end of March and I look forward to continue helping a smooth handover with my successor, Alex Keisser, until the end of June, including during the upcoming roadshow. With that, I will pass it over to T.K.
T.K. Chiang: I would like to recognize and thank Nicolas on behalf of the Board for his contribution. His leadership and dedication to CLP during this time of change have been greatly appreciated. I first joined CLP in 1988 as a graduate trainee and have seen the company transform during these 35 years. As I look ahead, I see our purpose to power brighter tomorrows in the era of net-zero transformation as the defining theme of CLP’s long-term growth. We enter into this chapter aware of the global and domestic challenge around us. But we enter with strong foundations based on decades of experience, profitably building energy systems and serving customers. Our focus will be on four themes. First, we’ll keep decarbonizing our operations while continuing to run a reliable, affordable and safe energy system. Second, we’ll do more to invest in growth and secure the many opportunities from the shift to clean energy and electrification. The third item relates to the ongoing transformation of our business. Investing in people, capability and systems to build a future-ready business. And lastly, we’ll continue to allocate capital strategically and responsibly backed by our investment-grade balance sheets to deliver the energy transition profitably and continue to generate value and returns for all those around us. I’ll now talk about the progress that we have made in these areas. We have a key building block for growth with the approval of the Development Plan. This five-year plan covering 2024 to 2028 is the second out of three under the current 15-Year Scheme of Control Agreement and it underpins our ongoing investment profile to support government’s priorities. Capital expenditure of around HK$52.9 billion is projected to help Hong Kong meet its growing energy needs as the economy and infrastructure expand and as we strive to lower carbon emissions. Now, key projects in the pipeline include, building the supply network to meet the more than 50% increase in public housing units in our supply area, powering up to 18 large-scale data centers compared with just four in the previous five-year period, 2 times to 3 times the number of substations and transmission cables than in the previous Development Plan period, investing in a grid-scale battery storage system to reduce peak demand and facilitate the integration of renewable energy, a pilot to explore blending of hydrogen into natural gas for power generation, and also investments to strengthen our power supply facilities to deal with the challenges of extreme weather like we saw with the Super Typhoon and Black Rainstorm in 2023. It is a demanding program of work, but we have both the commitment and roadmap to meet the challenge. With this Development Plan, we see a continuous expansion of net fixed assets and a solid basis for growth and stability to deliver reliable, cost-effective and cleaner power to our customers. We are alive to the cost-of-living pressure impacting customers, so we remain committed to cost management and a diversified fuel strategy to ease tariff pressure. In fact, we started 2024 with the average net tariff falling by 7.4%, compared with a year ago to HK$142.9. And we expect basic tariff adjustments as laid out in the development plan to be very competitive, increasing at moderate levels. We have agreed with governments to provide additional financial support in the event of another international energy crisis. Continuous investments and dependable earnings will allow us to continue delivering a world-class electricity system to support Hong Kong’s long-term development. It also sets a strong foundation for the rest of the organization to deliver returns and value to our customers and shareholders. Outside of Hong Kong, we are accelerating our capital program to get even more projects off the ground and provide customers the energy solutions they need. In Mainland China, our standing as a trusted and disciplined foreign investor with strong financials, premium assets and solid local relationships have put us in a position to secure even more development projects and development rights and construction quotas. We target to double our renewable energy portfolio in the medium term to meet rising demands as China pursues a dual target of peak carbon emissions by 2030 and net zero emissions by 2060. In India, our Apraava Energy has made a significant step up in winning projects, securing equivalent to 1.2 gigawatts capacity across wind, solar, transmission and smart meters. This joint venture has a solid platform along with favorable market conditions to triple the size of its non-carbon portfolio in the medium-term. At EnergyAustralia, our new investments are building more of the new energy system firming through batteries, gas, hydrogen and pump hydro with nuclear -- with energy from wind to capture the value from changing energy markets. Across all our markets, we are finding new business opportunities and increasing demand for energy solutions. As an example, in December, we signed a 10-year power purchase agreement with commercial property owner Shui On Xintiandi with power sourced from our Yangzhou Gongdao Solar Power Station. This is the first medium- to long-term agreement of its kind signed by CLP in Mainland China. Besides green contracts, there is growing interest from customers and partners in solutions that reduce carbon emissions in key areas, such as cooling systems, e-mobility and energy storage. To capture these opportunities and build for future success, we have been working to uplift our capabilities in the drivers for growth and productivity. They relate to customer experience, digitalization, simplification and people. We are underway in implementing initiatives to improve the way we interact with customers by placing more of our resources and expertise closer to them. We are harnessing technologies and digitizing our operations to unlock efficiencies and value to produce faster, better and more cost-effective outcomes. And throughout every level of the Group, while there is more to do, we are driving simplification to optimize our processes and embrace new ways of working. Critically, we are uplifting the capabilities and resilience of our people so that we have the workforce to take on the challenges and opportunities presented by the scale of net zero transformation. And last but not least, an update on our progress against Climate Vision 2050, the blueprint of the Group’s transition to net zero. We were the first power company in Asia to set voluntary carbon intensity reduction targets in 2007. Since then, we’ve progressively strengthened our targets to reduce our carbon emissions intensity and made tremendous strides in decarbonizing our operations. In 2021, we went further by committing to achieving net zero greenhouse gas emissions by 2050. In 2023, we again reviewed our Climate Vision and further strengthened our 2030 greenhouse gas emission intensity targets to bring us closer to alignment of limiting global warming to 1.5 degrees Celsius. We plan to allocate a larger share of our investments to non-fossil fuel generation assets. We have also pledged to maintain our existing targets and commitments, including phasing out coal before 2040. With decarbonization roadmap clearly embedded in our strategy and an incredible foundation to work from, I’m eager and ready to build a next successful era to contribute to the world’s energy needs and deliver long-term value to our shareholders. I’ll now hand it over to Marissa for questions.
A - Marissa Wong: Thank you, T.K. Thank you, Nicolas. We’ll now open the lineup for Q&A. For analysts on Zoom, please use your raised hand icon to ask a live question and we’ll open the lineup for you. For webcast participants, please submit your questions in the Q&A box at the bottom right-hand side of your screen. And we will now go to Pierre Lau from Citi, who’s on the Zoom line. Pierre, go ahead and ask your question.
Pierre Lau: Hello, management. Thanks for your time explaining the result and congratulations for the result last year. And I have three questions, all about EnergyAustralia. The first one is that, you mentioned previously EnergyAustralia had some low sales price contract. I would like to know how many percent of those contracts were expired in 2023 and how many percent still are applicable for 2024? The second question is your guidance is on expecting improvement of EnergyAustralia in 2024. How sustainable would be the improvement as we see that wholesale price there have fallen in the spot market in recent months? And the third question is what is the return of your new gas peaker called Tallawarra B in Australia? Thank you.
T.K. Chiang: Okay. Thank you, Pierre, for the questions. Now, for the sales contract, actually it’s a -- it’s our practice to forward sell our contract progressively on a two-year period. So that’s why if you look at all those contracts, actually they will be like gradually roll off over a two-year period. So it’s like a kind of rolling kind of arrangement. Now, regarding how sustainable the improvement as the wholesale price kind of trending downward in recent months. But if you look at the forward price curve, actually we are still seeing higher forward price as compared with the period between the energy crisis. And actually, one of the reasons of the, I would say, good performance last year for EnergyAustralia is because of the higher availability of our plants and also the more stable wholesale markets, which resulted in a higher wholesale price. So, of course, we will continue to monitor the market situation. The wholesale price trending definitely is one of the key factors. But there are also other factors, for example, weather, demand change of our customers, as well as government policies. So we’ll continue to monitor the situation. Now, regarding our Tallawarra B Gas Power Station. So it was commissioned actually on the 19th of February. So it’s now up and running and competing in the markets. When we were committed to investing in this project, definitely we see the return at a level that is acceptable to us. But once it is in the markets, then we will see how we can generate return at the level we want or even maybe at a high level, but subject to the market condition, of course.
Nicolas Tissot: If I may, Pierre, just to supplement what T.K. said about the way contracts have rolled off. Actually, most of the low price forward contracts, so the one dating from the low price environment, which means before 2022, have more or less rolled off. There was still significant roll off of those positions in the first half of 2023 and then most of the remaining such contracts expired during the second half. So we are starting more or less 2024 with a clean slate in that respect.
Marissa Wong: And Pierre, just to supplement again, on slide 46, you’ll see the forward prices that we’ve given out from 2020 to 2026 and so you can make an assessment as to the increase in prices that we’re seeing over the years as well. So that information is there for you. Thanks, Pierre. Evan Li from HSBC. Please, Evan, if you can unmute yourself and go ahead.
Evan Li: Hi. Thank you, and again, congratulations on great results. I have a few questions. First, also on EnergyAustralia and I do see that operating earnings have recovered sequentially, half-and-half, especially in the second half of 2023 if we -- even if we exclude all the fair value changes. And -- but I’d like to know a little bit more about your coal supply situation. How is that going to affect operating earnings situations in 2024, especially understanding that there might be some flooding, especially with the Springvale coal mine? That’s the first question. The second question is that EnergyAustralia seems to be committed to some big investments in the near- to medium-term, including 3 gigawatts of renewables by 2030, et cetera, which is going to require, is where you calculate, about HK$25 billion in CapEx. In that sense, what is our CapEx assumption for CLP and also for EnergyAustralia over the longer term? And then the third question will be on cash flow, because you did mention that cash flow has actually turned around and we do -- we’re very happy to see that free cash flow has turned positive. Now one of the factors was driven by the improvement on cash flows from Hong Kong and is there any specifics that we could know, where that improvement really came from in the operation for Hong Kong? Thank you.
T.K. Chiang: Yeah. Thank you, Evan. Maybe I will address the first two questions and then maybe, Nicolas, you can address the third question on cash flow. Now, first of all, for the coal supply situation in Mount Piper now, the -- as a matter of fact, the flooding situation at Springvale is continuing, but we are able to stabilize the situation by making sure that the water can be treated timely. At the same time, we are also successfully entering into a multi-mine contract with the coal suppliers so that there would be coal supply from other coal mines to mitigate the risk of Springvale being affected by the high water situation. So we’ll continue to -- and also at the same time, we also keep a healthy coal stock at the power station just to ensure that we can cater for any short-term fluctuation in the coal supply. So we’ll continue to monitor the situation and actively manage the coal supply issue. And now regarding the expected investment in renewable energy, in particular, we -- in the Climate Transition Action Plan published by EnergyAustralia. So we are committed to have up to 3-gigawatt of renewable energy. So we will -- depending on the project, as well as our financial situation, either we can invest or actually we can purchase the renewable energy from other developers in Australia. Actually, last year, we did enter into contracts to purchase 30% of a renewable energy wind farm from a project. So we are open-minded about different forms of partnership in order to achieve our decarbonization targets. So for renewable energy, acquiring this kind of energy through power purchase agreement, definitely is one way that we will use to balance our financial situation. So maybe if I can ask you, Nicolas, you have any supplement or addressing the third question?
Nicolas Tissot: Sure. Just coming back one second on your question on potential sequential recovery of earnings at EnergyAustralia. I mean, you’re absolutely right saying that we were in positive territory at operating earnings level during second half, while still in losses during the first half and also on a full year basis. Although this loss has narrowed very significantly to less than HK$200 million. But don’t expect the -- I mean, we -- as you know, we are not guiding on any specific target, but don’t expect the improvement to be just a linear sequential improvement, because you have a number of parameters at play. There is the topic of coal supply at Piper, which is an element of uncertainty. There is also, as you know, a program ongoing at Yallourn for improving -- further improving reliability. So that will be an important parameter of the next steps of the recovery. And lastly, we have adapted our hedging approach in order to optimize our results. And last but not least, as we are going to repeat constantly during this discussion, we are obviously dependent on the level of wholesale electricity prices, and there is a level, as always, a level of uncertainty on those prices and it’s fair to say that it’s a fact they have somehow softened during the first months of the year. So don’t expect recovery to be necessarily linear and it comes with a number of uncertainties, but we are focused on the key operational aspects of EnergyAustralia’s performance. On -- I think you had a question on cash flow contribution of EnergyAustralia. You can see that we are back in positive territory in terms of EBITDA and I think it’s a good proxy for cash flow generation at EnergyAustralia and that means we are back to cash flow generation in Australia. Looking at Hong Kong, I think, your point was on your understanding of the really high level of cash generation we have in the Hong Kong business. And as I mentioned rapidly in -- as a comment, a significant part of that is coming from working capital movements, the reversal of what we’ve seen in 2022, in 2023, both on the tariff stabilization fund and the fuel close account. And these movements are partially a reversal of last year, so they are not necessarily recurring. So again, the cash flow generation in 2023 is not necessarily going to be the same in 2024 because we more expect working capital movements to normalize in 2024. But that paves the way for a steady level of cash flow generation, I mean, normalizing towards what you have usually seen with CLP in the past. Thank you.
Marissa Wong: Thanks, Nicolas. We’ll take two more questions. One from Robert Koh, Morgan Stanley in Australia. Hi, Rob. If you could please unmute yourself.
Robert Koh: Hello. Good evening. Can you hear me?
Marissa Wong: Yeah.
T.K. Chiang: Yes.
Marissa Wong: Hi, Rob.
Robert Koh: Hi. All right. Well, I must apologize, I too need to ask some questions about Australia. So I guess my first question, just a minor question. If I look at the slide, the outlook slides that you provided on EnergyAustralia, in the last couple of halves, you also did note there had been volatile wholesale gas prices and that doesn’t appear in these slides today. So I’m kind of interpreting that to mean that gas price volatility, while still a possibility, seems to maybe be less of a factor in the year ahead. That’s question number one. And then question number two, I guess, is in relation to the EnergyAustralia Climate Transition Action Plan. I just want to make sure that I understand it correctly. There’s a kind of a 3-gigawatt renewable target or up to 3 gigawatts by 2030. Does that figure include the firming activities, the batteries and pump hydro? And also, I guess, related to the investment there, which you’ve commented, you have the flexibility of many different ways to finance these things. A lot of the local utilities here like to finance the firming plants on balance sheet. Just wondering if that is similar for EnergyAustralia and CLP, please?
T.K. Chiang: Rob, yeah, for the gas price, definitely there would be gas volatility in -- gas price volatility in the markets and it depends on the supply and demand situation. In our case, we have improved margin in our gas business last year, and up to now, the gas contracts that we have committed is good enough for up to next year. So we -- I would say, we are in good shape in ensuring our gas supply is sufficient. Regarding your second question about the CTAP, the renewable energy target, broadly speaking, you’re right that for the 3-gigawatt renewable targets, that’s more for renewable energy and we actually, we would be focusing more on wind rather than solar, given the fact that in Australia, the rooftop solar actually is growing very significantly. And for firming capacity, it would be our strategy to put it on the balance sheet. But at the same time, as I also mentioned, that we are open to different kinds of partnership. It could be equity partner together or we could also be kind of entering into a right of use kind of arrangement, depending on individual projects and also depending on our financial situation when the projects come to our attention. So I don’t…
Nicolas Tissot: Maybe just to further…
T.K. Chiang: Yeah.
Nicolas Tissot: …further confirm and clarify some numbers, the up to 3-gigawatt renewable energy target is from a situation at the end of 2023 of a bit less than a 1 gig of renewables that we have contracted, 900-megawatt, basically. So it’s up to 3-gigawatt by 2030 and that can be with some parts where we invest and some parts where we simply contract, as we’ve done it already in 2023 on a couple of cases and then all the flexible assets are in addition to these 3-gigawatt. And again, same approach as T.K. mentioned earlier, we are open-minded on partnering, on setting up the right funding structures in order to limit the call for capital for supporting our strategy in Australia. So answer to your question, are we using engine -- financial engineering? Yes, this is the approach and you’re going to see we are going to have some projects also deconsolidated. So we definitely want to use financial engineering and this is a way to limit the level of direct CapEx investment on balance sheet.
Marissa Wong: Thanks, Nicolas. And we’ll take a last question from Steven Choi, JPMorgan. Steven, if you could unmute yourself and ask your question, please.
Steven Choi: Thank you, management. So I just have two quick follow-up questions. The first is, can you please provide some guidance on the growth CapEx this year and next, because I know we had around HK$700 million of growth CapEx last year. So can you please elaborate on how much growth CapEx should we expect for China and Australia? And my second question is about the target gearing ratio for the company and also like the average finance costs last year and the outlook this year. And the last question is about the dividend outlook, because we had -- the total dividends being unchanged for 2023. So how should we expect the dividend level for 2024, given improving Australia outlook? Thank you.
T.K. Chiang: Thank you, Steven, for the questions. Maybe I quickly address the dividend question, because dividend obviously would be approved by the Board and I cannot give any guidance now. But based on our dividend policy, we want to maintain a stable dividend and as long as supported by our growth in our business, we want to have a steady growth. So with that, maybe I will ask Nicolas to address those questions more specifically.
Nicolas Tissot: Yeah. So on gross CapEx, I think, you have an element where you have a lot of visibility, which is the component associated with the approval of the new Development Plan 2024-2028. So this is -- this will continue to be the bulk of the CapEx, of the Group at a consolidated level and with HK$52.9 billion approved for the next five years, you can expect our pace of investment to be at more or less the same level we had in the last Dev Plan, so around somewhere between HK$10 billion and HK$11 billion a year. And then for the other investments, you should keep in mind that first, the investments in India are no longer consolidated, because this is accounted for as a JV, but there will be significant CapEx in India at India level, not consolidated at Group level, because of the very strong pipeline and the number of the numerous project we won. We won more than 1.2 gigawatt of equivalent capacity in clean assets. In China, we have provided the elements on the type of growth we want to deliver and we basically want to double our size in China from 2-gigawatt of renewables today to 4-gigawatt by 2027. So you can expect the kind of CapEx that is associated with that. And we already talked about Australia, where we want to have an approach based on partnership and financial engineering to harness the level of call for capital for our investment in this country. Average finance costs in 2023 were no surprise and that’s mentioned in the presentation several times. They are on the rise as interest rates went up. However, you will note that the net debt at the end of 2023 was lower than at the beginning of the year. So there is obviously an interest rate impact, but at the same time, a lower level of debt in 2023 compared to 2022. The average cost of debt at the consolidated level has increased on average by several tens of bps, but our average cost of debt is still below the 4% mark. We are usually not disclosing more detail than this. And looking forward, we are obviously dependent on the evolution of monetary policies, but we have planned for another year of rather high interest rates and that’s also the assumption we have in our budget. But I think we have absorbed now most of the rise, and hopefully by the end of 2024, we’ll start to see interest rates go down. I think dividend, you know our track record, it’s last -- it has lasted for almost 60 years. We always responsibly -- our Board always responsibly look at our dividend and strikes as always a balance between our earnings and they really look at actual earnings, not forecasted earnings. They look also at the needs of the business, so our investments and they look at the financial situation of the Group and maintaining the Group with a very solid balance sheet, which is the guarantee of full access to attractive funding. Thank you and thank you for your many questions.
Marissa Wong: I think we’ve hit against times and I see there are some other questions, but my team and I will be available after this briefing to take those. But otherwise, thank you, T.K., thank you, Nicolas for the briefing and answering the questions. An archive of this briefing will be available on the IR website. Thank you all for your attendance. I will now close the session. Thanks and good-bye.